Operator: Greetings and welcome to the USEC Inc. second quarter conference call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the prepared remarks. (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Steven Wingfield, Director of Investor Relations for USEC. Thank you, Mr. Wingfield. You may begin.
Steven Wingfield: Good morning. Thank you for joining us for USEC’s conference call regarding the second quarter of 2011, which ended June 30th. With me today are John Welch, President and Chief Executive Officer; John Barpoulis, Senior Vice President and Chief Financial Officer; Philip Sewell, Senior Vice President; Bob Van Namen, Senior Vice President and Tracy Mey, Vice President and Chief Accounting Officer. Before turning the call over to John Welch, I’d like to welcome all of our callers as well as those listening to our webcast. This conference call follows our earnings news release issued yesterday after the markets closed. That news release is available on many financial websites, as well as our corporate website, usec.com. I want to inform all of our listeners that our news releases and SEC filings, including our 10-K, 10-Qs and 8-Ks are available on our website. We intend to file our quarterly report on Form 10-Q before the end of this week. A replay of this call also will be available later this morning on the USEC website. I’d like to remind everyone that certain of the information that we may discuss on this call today may be considered forward-looking information that involves risks and uncertainties, including assumptions about the future performance of USEC. Our actual results may differ materially from those in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in our forward-looking statements is contained in our filings with the SEC, including our annual report on Form 10-K, our quarterly reports on Form 10-Q and finally, the forward-looking information provided today is time sensitive and is accurate only as of today, August of 4th, 2011. This call is the property of USEC. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of USEC is strictly prohibited. Thank you for your participation and now, and now I’d like to turn the call over to John Welch.
John Welch: Good morning and thank you for joining us to discuss our second quarter results. Yesterday we reported a gross profit of $33 million and a net loss of $21 million. That is a bit better than our prior guidance. Two of the biggest differences between the second quarters of 2010 and 2011 are related to spending on the American Centrifuge project. Last year, about half of the expense for American Centrifuge was offset by cooperative cost sharing program with the Department of Energy or DOE. That program added $20 million of other income in the first six months of 2010. In addition this year we expense $9.6 million in the second quarter for Centrifuge equipment that had been previously capitalized. We continue to be successful in our efforts to mitigate costs related to the transition of our contract services business and we will continue to be focused on mitigating these transition costs as we finish de-leasing the former Portsmouth plant later this year. Our second quarter revenue came in at $454 million which was about $5 million less revenue than reported for the second quarter of 2010. In addition our costs were also higher, particularly for the electricity we purchase from the Tennessee Valley Authority. While our 5 year contract with TBA provides for modest annual increases to the price we pay, a separate fuel cost adjustment has been higher than expected. Severe weather in the mid south during the spring knocked out access to several TVA power stations requiring TVA to purchase power from outside its system. Because electric power accounts for about 70% of our production cost, this contributed to an increase in our unit production cost of 9% compared to the second quarter of 2010. John Barpoulis will go through our earnings in details in a few minutes as well as our updated guidance for 2011. Let me spend a few minutes updating you on the activities we’ve taken over the past few months to transition our uranium enrichment business to the American Centrifuge. When we reported first quarter earnings in May and provided an update at the end of June, we had hoped that DOE would have provided the conditional commitment for a $2 billion loan guarantee by now. That didn’t happen but we still see a path for financing the project. We still believe in the project and we still see American Centrifuge as the best way to deliver shareholder value. It has been two years since DOE asked us to address their financial and technical concerns. We spent countless hours addressing those concerns which include assembling a lead cascade production ready AC100 machines. A year ago in 2010 we submitted a comprehensive update to our loan guarantee application. Last October DOE informed us that it had largely completed its initial technical review and we proceeded to the next step in the process, negotiating a term sheet for the loan guarantee. In April 2011 we reached at a significant milestone in the process, completing the due diligence and negotiation stage. A draft credit package that included the negotiated time sheet was submitted on parallel pass to DOE’s credit group and to the office of management and budget, the National Economic Council and the Treasury Department for review and determination of an estimated credit subsidy cost range. At the end of June we took additional steps to provide an additional limited period of time to complete this review process and to obtain a decision from DOE on the conditional commitment. These USEC actions included working with our lenders to amend our credit facility and entering into a standstill agreement with Toshiba and BMW regarding closing on a $50 million second phase of their strategic investment. Recently DOE officials have verbally indicated that USEC needs additional financial and project execution depth to achieve a manageable credit subsidy cost and to proceed with the loan guarantee. We are working with DOE and its advisers on reviewing structuring options to address the remaining concerns in order to move forward on ACP and to obtain a conditional commitment and a loan guarantee. We have also retained financial and other advisers who are helping in this review of structuring options and pursuit of strategic alternative. There’s a wide range of options available and our review will be through the prism of which options to deliver the best value to the shareholders. We are fully engaged in having ongoing dialogue with our strategic investors Toshiba and Babcock & Wilcox. As you know, each company has a representative on our board of directors so that they are completely aware of our discussions with DOE. All 3 companies have the option of ending their investment as of the end of June 30th. As I have previously mentioned, we all signed a standstill agreement through August 15th. We are working to extend the agreement to allow time for the review of structuring options to take place. In the mean time the project is not standing still. The lead cascade test program continues. We did have an electrical fault on the plant support system that led to the failure of some of the machines in June. This event was not related to machine technology and machine design or machine manufacture. This is a test and demonstration program and the important outcome is to implement the lessons learned from this event. The commercial plant systems designed will include safeguards and redundancy to ensure that the issues identified won’t occur in the commercial operation of the plant. All of the available Centrifuges and lead cascade test and demonstration program have returned operations and additional Centrifuges will be added over the next several months. On our last call we announced that we had launched with BMW a joint company for the manufacture and assembly of the AC100 machines. I am pleased to report that the startup of that joint venture has gone well. American Centrifuge manufacturing or ACM consolidates accountability for Centrifuge manufacturing and assembly under one business unit. We believe this consolidation will ensure that our AC 100 will be built in a cost efficient manner but also to consistent high standards. The new company operations are located in USEC’s existing American Centrifuge technology and manufacturing center in Oak Ridge, Tennessee. These are skills well paid physicians. If we can attain the DOE loan guarantee and related financing, ACM will hire additional staff. These jobs are part of the 8,000 direct and indirect jobs that the American Centrifuge project is expected to create or support in several states. In closing, let me emphasize 3 things. While the process of obtaining the loan guarantee has taken much longer than we anticipated it is clear that DOE and the administration want to see the project move forward. We still see a path for funding the project though the DOE program. We sincerely appreciate the patience of our investors, customers and suppliers. We believe strongly that the American Centrifuge is our best path to deliver long term shareholder value. Second, we need to resolve the remaining DOE issues surrounding our conditional commitment for a DOE loan guarantee as soon as possible. While we ended the quarter with over $40 million in cash, we are very mindful of our limitations. Third, we are absolutely committed to pursuing the structuring option or strategic alternative that delivers the highest return to shareholders for our enterprise value and the investment we’ve made in America Centrifuge project over the last several years. The management team and board of directors have significant equity holdings and our interests are aligned. Now I’d like to turn the call over to John Barpoulis for report on second quarter financial results. John?
John Barpoulis : Thanks John and good morning everyone. Starting with revenue for the quarter, total revenue was $454 million, with SWU sales making up the majority of revenue at $330 million. The decrease in revenue year-over-year for SWU sales was less than $1 million. The volume of SWU sold was 1% lower and the average price billed to customers was 1% higher. Looking at revenue for the 6 month period, total revenue was $835 million, SWU revenue making up $639 million of that total. SWU revenue increased 7% compared to the same period of 2010. The volume of SWU sold increased 3% in the 6 months period and the average price billed to customers also increased 3%. In recent years, we have signed SWU contracts at higher prices and with price adjusters. As these improved contracts make up a larger portion of our backlog, we are seeing an increase in average prices billed to customers. Uranium revenue was $68 million in the quarter which was a decrease of just under $2 million compared to the second quarter of 2010. In the 6 month period, uranium revenue was $82 million which was a decrease of $3 million. Uranium prices improved during 2010 and that trend was reflected in our sales for the first half of 2011. The average pricing uranium revenue was 36% higher than a year ago, but volume was down 29% reflecting declines in uranium inventory per sale. Uranium spot prices have been volatile and lower since the tsunami in Japan but the long term price for uranium has remained fairly constant. Turning back to revenue, we continued to transition in our contract services segment as we conclude the longstanding cold shutdown contract with the Department of Energy. This segment also includes revenues for our subsidiary at AC international. Revenue for the second quarter was $56 million, a decrease of about $3 million from the same quarter last year. In the 6 months period revenue for the segment was $114 million or about $7 million less than the same period in 2010. We are continuing to wind down operations at the former Portsmouth Gaseous diffusion plant and transitioning to the decontamination decommissioning contractor there. We anticipate completing this transition of operations and affected employees by the end of September. Switching to the cost side of the ledger, our two largest cost components are electric power and the price we pay Russia to purchase SWU. We have a power contract until May 2012 with the Tennessee Valley Authority or TVA. That agreement provides moderate annual increases to the base price we pay plus an adjustment based on TVA’s cost of fuel and purchase power. During the first half of 2011, our power costs declined because we purchased 21% fewer megawatt hours of electricity compared to the same period last year. Under our TVA contract, we’ve reduced our non summer month purchases from 200 megawatts to 1650 megawatts beginning in September 2010. However, the average cost per megawatt hour increased by 7% in the first half of 2011, reflecting a higher TVA fuel cost adjustment as well as the fixed annual increase in the TVA power contract. The fuel cost adjustment added about 13% over the base contract price in the 6 months period. That is well above our estimates for the year. For context, the full year adjustment was 10% in 2010. The higher fuel adjustment was due to severe tornado and thunderstorm damage in the mid south during April and May that reduce TVA’s generating capacity and required the purchase of significant amounts of higher cost replacement power. Deliveries of SWU from Russia under the mega tons to megawatts program resumed during the second quarter. Purchase costs declined $43 million during the first half of 2011 compared to the same period last year, but that was due to the timing of deliveries. The purchase cost increased 3% year over year. These higher purchase and production cost components affect our cost of sales for the ALU segment. The cost of sales for SWU and uranium in the 6 months period of 2011 was $676 million which is $50 million or 8% higher than in 2010. This change was due to the 3% increase in SWU volume and 9% higher SWU unit costs compared to the first half of 2010. Cost of sales in the contract services segment during the 6 months period was $112 million an increase of $4 million compared to the same period in 2010. This reflects short term work at the Portsmouth plant in Ohio and a $5 million curtailment charge for the retirement benefits of USEC employees transitioning to the new DND contractor there as well as higher associated with increased sales at NAC. We have additional information about the transition within our contract services segment in our 10-Q which we intend to file before the end of this week. Gross profit was $33 million for the second quarter compared to $44 million in the same quarter last year. Our gross profit margin was 7.3% for the second quarter compared to 9.6% in same quarter of 2010. in the 2011 6 months period, the gross profit was $47 million compared to $71 million in the same period of 2010. The gross profit margin was 5.6% so far this year compared to 8.8% in the first half of 2010. Even though the average price billed to customer for SWU was 3% higher in the first half of 2011, the impact of higher inventory cost for purchases from Russia and the cost of electric power for SWU production in earlier periods and the small profits and contract services caused the overall gross profit margin to decline. As John mentioned earlier, we updated our financial guidance and we now expect the gross profit margin of 6% for the full year. That is an improvement over our initial guidance of 45% in 2011. Below the gross profit line we have expenses for advanced technology primarily related to the American Centrifuge. In late 2009 we substantially demobilized and reduced project construction and most machine manufacturing activities. However we have continued to operate the lead cascade program to increase machine operating hours of our AC 100 Centrifuges providing additional assurance of performance, reliability and plant availability. The amounts of advanced technology expense in the 6 months period of 2011 primarily related to the American Centrifuge project was about $60 million for $8.5 million more than in the first half of 2010. In the second quarter we expensed $9.6 million of previously capitalized construction costs and associated capitalized interest costs related to a number of Centrifuge machines that were irreparably damaged to the lead cascade test and demonstration program. Last year USEC and DOE implemented a cooperative cost sharing agreement for American Centrifuge activities. That $90 million program was completed in January of 2011 when USEC made the final qualifying expense of $1.2 million. With cost sharing that resulted in $600,000 that was recognized as other income. In the comparable 6 months period of 2010, $20 million was recognized as other income that represented DOE’s 50/50 pro-rata share qualified expenses. Also included in the 2011 advanced technology expense was less than $1 million of work by NAC on transportation version of the magna store technology. Selling, general and administrative expense was $32 million during the first half of 2011, about $3 million higher from a year ago primarily due to the slightly higher salary and employee benefit costs. Looking at the bottom line we reported a net loss of $21.2 million for the second quarter compared to net income of $7.2 million in the same quarter of 2010. For the 6 months period ended June 30th we reported a loss of $37.8 million compared to a net loss of $2.5 million in the same period of 2010. Turning next to cash we ended to quarter with a balance of $340 million compared to $151 million in cash on December 31st 2010 and $208 million on June 30th. The major sources of cash during the first half of 2011 were payment by customers on accounts receivables that provided cash of $175 million and monetization of inventory that provided $174 million. Payables to Russia and capital expenditures related to the American Centrifuge project represented the most significant draws of cash during the first half of the year. Cash flow of operations for the 6 months period of 2011 was $186 million compared to cash flow from operations of $173 million in the same period last year. We had no borrowing under the revolving portion of our credit facility at June 30th but we expect to borrow on the facility from time to time later this year based on working capital needs. I want to make one point very clearly. I am keeping a very close eye on our liquidity outlook. We ended the quarter with approximately $340 million and our strongly held management philosophy is that we will not spend ourselves into a problem with liquidity. We know cash is king and therefore we’ve only authorized project spending for short increments of time and for limited amounts of money. In yesterday’s earnings release, we provided an update of our 2011 guidance. These are generally modest adjustments that reflect the half year’s actual results, some ships and timing of SWU deliveries and additional revenue in the contract services segment. Let me provide a few highlights. We anticipate total revenue of $1.7 billion which is consistent with our initial guidance. We expect SWU revenue to be slightly below our original guidance of $1.4 billion. Our uranium expectations remain at $150 million. We anticipate contract services revenue will be approximately $200million and increase at $50 million above the initial guidance. Electricity remains our largest production cost component. We are buying less electric power in 2011 than we did in 2010 for our contract with TVA and the dollar spent on electricity will decline. However the fuel cost adjustment has been higher than expected. TVA bought replacement power this spring due to damage to tornados and other severe storms and this summer’s heat wave won’t help. We are continuing to evaluate our TVA load profile with the goal of optimizing power purchases and reducing our exposure to fuel cost volatility. Our purchase cost paid to Russia under the megatons to megawatt program will increase 3% year over year, tmallest price increase we’ve seen in recent years. Due to lower production costs and a small increase in the average price billed to customers, we now anticipate a gross profit margin of 6%, compared to the 4 to 5% guidance provided at the start of the year. We expect selling, general and administrative to come in at approximately $60 million. That’s unchanged from our initial guidance. Our view on spending on the American Centrifuge project continues to be a function of our progress towards a conditional commitment and towards a timely closing on our DOE loan guarantee and related funding. As the year has gone on we have incrementally allocated our spending on the project in 2011. We now anticipate the total spending of capitalized and expense will be approximately $145 million through the end of August because project spending has a significant income and cash flow and the full year spending is still uncertain but we are not providing guidance on that income or cash flow from operations at this time. That said when you look at spending on the project in the first half of the year and our anticipated gross profit margin; we expect to report a net loss in each quarter in 2011. We also expect that our enrichment operations will generate positive cash flows from operations. Please note that there are a number of additional factors listed in the outlook section of news release that could affect net income and cash flow. To quickly summarize, we recorded losses for the quarter in 6 months period but these were anticipated in our prior guidance. We update our guidance and we see an improved gross profit margin for 2011 compared to our initial guidance and we are sharply focused on delivering shareholder value during a review of structuring options and strategic alternatives. And with that operator we are now ready to take questions from our callers.
Operator: Thank you. Ladies and gentlemen we will now be conducting a Question and Answer session. (Operator Instructions)
John Barpoulis: While the operator is polling for questions I would like to touch on a question that we’ve received from investors recently and specifically I would like to ask Bob Van Namen to touch on the status of our power contract discussions with TVA.
Bob Van Namen: Thank you, John. As you know the power element is a very important one for our continued operation at the Paducah plant. First and quick update on the operations, the plant continues to operate well and it has a very strong and talented and committed workforce. We see no issues with the plant that which will prevent further operations beyond the May 2012 timeframe. We also see a good outlook for power supply post May 2012. natural gas supply which dominate the market electricity prices remain strong. We continue to see as John said to see volatility in the TVA fuel cost adjustment mechanism and we will look to minimize our exposure to this volatility in future power procurements. Power is one element of the economic equation necessary to support the continued operation of the plants. The other 2 elements are sufficient market demand for the output of the plant and a high assay tails re-enrichment program with the Department of Energy. We continue to closely monitor the supply-demand situation after the tsunami and earthquake in Japan and its impact on reactor operations. We are encouraged that the house energy sub-committee led by chairman Whitfield from Kentucky recently passed legislation providing for a tails re-enrichment program. In the end all of the pieces need to fit together for us to extend these operations. We remain optimistic that we can obtain sufficient clarity by early in the forth quarter of this year to make that decision. Back to you John.
John Welch: Operator, we’d like to take our first call.
Operator: Thank you. Our first question is coming from Laurence Alexander of Jefferies & Co.
Laurence Alexander – Jefferies: Good morning. I guess just a couple, just to elaborate on that. So first of all it sounds as if you are now saying that you need the high assay tails program to be confirmed to justify to continuing Paducah? Is that the case?
Bob Van Namen: Yeah, it is one of the elements. It is a key element we are seeing the market demand in the near term being reasonably thin and we like to operate the plant between 5 and 6 million SWU’s. So having that high Assay tails program to pull off about a third of the overall output of the plant is a needed part of the equation.
Laurence Alexander – Jefferies: And so what I’m, can you just walk us through the long term contracts that you have in your backlog? That is how many SWUs are you, do you have visibility on over the next few years and then if you do decide to discontinue Paducah, how do you service those customers and do you pay penalty clauses?
Bob Van Namen: Yeah, we have a number of elements of supply still at our disposal. We have a substantial inventory that backstops the HEU deal and the continued Paducah operation. As you know the megatons to megawatts deal will be ending in 2013. So we still have supply from that. We have a good amount of inventory under again that backstops that we will be drawing back after Paducah and the megatons to megawatt comes to an end. We also have the TSA agreement with the Russians. So these elements together along with startup SWUs from the American Centrifuge plant and continued Paducah operation give us a variety of sources of material.
Laurence Alexander – Jefferies: And then if you were to take the parts of your business that are covered under long term contracts which are already largely, you can almost divide your business into the parts that you can predict and the parts that you can’t predict. Have you tried running an exercise where you sort of figure out how much free cash flow or EBITDA is embedded in those long term contracts that you have visibility on so that your creditors and your investors can have a better sense for what the baseline business can sustain plus and then factor in the variability around energy costs and around the ACP costs?
John Barpoulis: Lawrence, it’s John Barpoulis. I think that from a backlog standpoint we typically do provide that update on total backlog in our 10-K, which most recently I believe was just under $7 billion in the previous 10-K to clarify the backlog question and as we do look at our operations, we certainly do look at our LEU segment as a continuum. That being said, as we’ve established the financing for in business model for the American Centrifuge project and specifically in line of the project finance approach, there are certain contracts that are more directly related to the American Centrifuge program and to support that financing and so I would say we certainly are conscious and look at the support of the capital structure between the sources for existing LEU operations and to support the financing eforrt for American Centrifuge. I would also add that we’re also focused on providing continuity of supply for our customers and so we’re trying to make that as seamless as possible from an external standpoint.
Laurence Alexander – Jefferies: And maybe just if I can ask for an elaborate on that, so on the 7 billion in the backlog, do you have visibility to be able to say what the embedded EBITDA in that backlog is given that your contract structures have been changing significantly over the last few years and those new contract structures will be flowing through in the future and then just as a follow on, can you address if there is any, what levers you would have for cost cutting or restructuring apart from the ACP? Or are you pretty much already about as lean as you can get on the cost side? Thanks.
John Barpoulis: Thank you. I’ll cover the EBITDA question first. I think that we provide our guidance on our annual basis. So I think it would be a challenge for us to provide any EBITDA further out and also recognizing the variables associated with our sources of production with respect to power market, but also on the revenue side. I’d also note that we do have additional information in our old 10-Q, 10-K rather with respect to the subset of that backlog which is associated with the timeframe through about 2015. That number from our 10-K was $4.7 billion. We do expect again from a gross profit margin standpoint for the year that we see that improving from our earlier guidance from 4% to 5%, 6% and so I think that’s the best we can provide with respect to gross profit margin guidance in the near term. Bob?
Bob Van Namen: Yeah, just a couple of quick comments on cost cutting. With 70% of the production costs from Paducah coming from power that is clearly our main focus. That’s why we’re so concentrating on TBA and non-TBA power supplies for extended operation and to be able to improve the margins from that production. So I do think from a cost of personnel, the maintenance, the other facilities we’re about as lean as we can get, but we do focus on power opportunities as our main source.
Laurence Alexander – Jefferies: Okay, thank you.
Operator: Thank you. Our next question is coming from Paul Clegg of Mizuho.
Paul Clegg – Mizuho: Hi, good morning and thanks for taking my question. I’m trying to understand what structuring options and strategic alternatives encompasses, so I’ll just ask one flat out question. Is USEC for sale?
John: Well, reviewing structure the options or strategic alternatives can encompass a wide range of potential outcomes and as you would expect our comment would be it’s incorrect to assume the sale of the company is the sole or even the primary goal of that activity. Clearly we’re trying to respond to the Department of Energy’s issues surrounding increased project execution strength and increasability to support any of the financial issues that come up in the deployment of the plan. We remain committed to the deployment of the plan and we’re looking to address the indications that we need this additional financial and project depth and it’s clearly focused on achieving a manageable credit subsidy cost so that we can go forward with the long guarantee.
Welch: Well, reviewing structure the options or strategic alternatives can encompass a wide range of potential outcomes and as you would expect our comment would be it’s incorrect to assume the sale of the company is the sole or even the primary goal of that activity. Clearly we’re trying to respond to the Department of Energy’s issues surrounding increased project execution strength and increasability to support any of the financial issues that come up in the deployment of the plan. We remain committed to the deployment of the plan and we’re looking to address the indications that we need this additional financial and project depth and it’s clearly focused on achieving a manageable credit subsidy cost so that we can go forward with the long guarantee.
Paul Clegg – Mizuho: Did DOE give you any range of the potential credit subsidy?
John Barpoulis: Sure, it’s John Barpoulis. We’ve not been provided with an estimated range for credit subsidy cost for ACP. Based on our conversations with government officials, again DOE we would like to see some additional financial and project execution depths to proceed with the loan guarantee. As John indicated this additional depth would also help achieve a manageable credit subsidy cost and we are currently working with DOE and their advisors on reviewing these structuring options to address the issues. I think in addition we have advocated that as the government is going through this determination of credit subsidy cost that the government should consider the very unique aspects associated with the project such as national security value, non-proliferation value, the $2 billion of equity investment that the company has made to date, that our investors have made to date, the pledge of non-project collateral as part of the overall financing package, the modular design of the plant and not least the $100 million royalty fee that would be paid to the US government once the plant is operational.
Paul Clegg – Mizuho: Are they going to let you use the royalty payments as an offset to the credit subsidy?
John Barpoulis: We certainly hope so.
Paul Clegg – Mizuho: Okay, it hasn’t been decided yet?
John Barpoulis: They have to recognize the revenue stream Paul.
Paul Clegg – Mizuho: Okay and just a couple other brief ones, the Japanese export credit agencies, no real mention of that. Are they still in the picture? What do they need to see happen? Any change there?
John Welch: No change, they are still in the picture and are working through their diligence process.
Paul Clegg – Mizuho: Okay and then one question we’ve gotten is, so it seemed like you were pretty far along in the process with the substantial completion of the application moving forward towards the term sheet. So why didn’t the DOE raise any of these concerns before now and I’m sure that’s a question you probably asked them?
John Welch: Needless to say it has taken longer than we anticipated it would. Based on some of the precedents that have gone on in the long guarantee program in general, there are indications that the government’s process to determine a credit subsidy cost can be very challenging. We can’t speculate with respect to the timing of this feedback from DOE, but as challenging as it is, we remain focused on a path that will maximize the shareholder value in the deployment of the project we believe is the path to do that. We have very good strategic partners in BMW and Toshiba. That’s why they are the first ones we’re turning to in any sort of look at structurally how we would address the concerns, but on the other hand we readily admit our liquidity is not unlimited and so this can’t go on forever. I think our view is that this is a process that is in the range of weeks, not months to come through these issues and get to a decision point, but we clearly share the frustration with our stakeholders.
Paul Clegg – Mizuho: And then one final one, you kind of touched on this point but you do have strong partners in the centrifuge projects. I’m a little bit perplexed by the characterization of that you need more depth in project execution. I understand the financial part of it, you clearly want to buffer there, but what do you understand that to mean and what sorts of things can you do to improve the project execution depth?
John Welch: Certainly part of the dilemma in that is that we’re in a demobilized state right now of basically running demonstration activities and through those demonstration activities we’re demonstrating readiness of the machine, readiness of our operations to transition. So I think as we look to the full project execution a larger project, again it’s, there is a concern of scale. How best do you put resources, adequate resources and this flows down to our supplier bases. Well, that gives you a high confidence that you can go forward. Clearly one of the issues we’re dealing with is that this technology albeit fielded in the 80s, this machine has not been deployed commercially. That’s why we’re doing so much testing. So I think when you look at depth of resources in project execution. You’re thinking on a grander scale and every time you have issues that you’re dealing with, you’re looking at how best do we strengthen the project for that execution. That’s clearly an item that when we move to the next phase of the project through our license at the Nuclear Regulatory Commission we’ll be looking at very closely as well. The initial license is for the Cascade. They’ll be back in as we get the approval to move to commercial operation. So I think it’s more a matter of scale than anything else Paul.
Paul Clegg – Mizuho: Okay, thanks. I’ll jump back into the queue.
Operator: Thank you. Your next question is coming from George Caffrey of Miller Tabak Roberts.
George Caffrey – Miller Tabak Roberts Securities: Thank you. Good morning. If I understood you correctly when you were talking about the financial and project execution, the pushback you were getting from the DOE, you’re talking about scale. Is this something that you can prove vis-à-vis like an engineering design or is this a much more what I’d call time consuming process related to building and implementing additional centrifuges etc, etc?
John Welch: I think the more time consuming things is what we have been ticking off that list as we’ve gone through these demonstration activities since 2007. An example I would give is we have a rate of centrifuge manufacturing that’s much higher than we’re manufacturing today when we’re in full rate production and so a series of activities we’ve been carrying out with our suppliers and with BMW this past year is to demonstrate each of the aspects of how we’re going to manufacture the machines and actually ran through a period of time where we demonstrated the rate at which we could build the machines and then if you look at if you add two or three more trains on that you would be up to that maximum production rate. We came through that very solidly. So the big heavier items related to facilities and demonstration machines for through that. I think it’s really the management structure and the program management side of the house, is it strong enough to carry out that big a complex project then? We certainly know the project controls that are in place when you’re in full execution or the project is going to be a lot greater than they are for our current state of affairs.
George Caffrey – Miller Tabak Roberts Securities: Okay, thank you and who is the consultant?
John Welch: I’m sorry George. In what capacity?
George Caffrey – Miller Tabak Roberts Securities: You mentioned that you’ve hired consultants to assist you in the process I think?
John Welch: Yes we have. We’ve retained advisors. We will not name the entities specifically but I think I can assure our investor stakeholders we work with reputable firms. I think long list certainly includes the firms that cover us from an equity and analyst perspective that have joined us on the call today as well as the name institutions in our Lander Group.
George Caffrey – Miller Tabak Roberts Securities: Okay and the NRC application that required I guess for you to go beyond the summer of 2012, did that have any impact at all? Was that at all related to the DOE request or the mutually exclusive?
John Welch: Mutually exclusive. It was just part of the update process of the license.
George Caffrey – Miller Tabak Roberts Securities: Okay and then one last question and this relates to the issue with respect to the centrifuges back I think it was in June, was it due to the electrical fault? Could you just talk a little bit about what the kind of the required, reporting requirements are for when you have an event like that?
John: Well, let me walk through and provide a little more color on the expense itself. The expense was not an asset impairment. We did charge to expense costs for centrifuge equipment that had previously been capitalized and assessed in the preparation of our quarter end financial statements and so this expense included the machines but…
Barpoulis: Well, let me walk through and provide a little more color on the expense itself. The expense was not an asset impairment. We did charge to expense costs for centrifuge equipment that had previously been capitalized and assessed in the preparation of our quarter end financial statements and so this expense included the machines but…
John Welch: Are you asking about the event in June? Was that the question or?
George Caffrey – Miller Tabak Roberts Securities: Well, not so much what the event was but in terms of reporting whether it’s to regulatory authorities or anything.
John Welch: With respect to regulatory reporting, within 24 hours of any sort of, especially when you’re going through a long guarantee process, you’re keeping the Department of Energy long guarantee office up to speed on anything that’s going on in the plant. If you had an electrical storm that took power out for short period of time, we got it back. You’re going to report all that. Chase 1600, our test facility in Oak Ridge, the regulatory responsibility there is with the Department of Energy. In the case of the lead cascade in pike 10, the regulatory agency there is Nuclear Regulatory Commission and they were informed of the event.
George Caffrey – Miller Tabak Roberts Securities: Okay, thank you very much.
Operator: Thank you. Your next question is coming from Robert Cuttleburg [ph] of the Cuttleburg [ph] Fund.
Robert Cuttleburg – Cuttlebug Fund: Hi John, how are you? John, this is a little reiteration of some of the other questions, but the way we look at to restate what you said earlier, in October 2010 we essentially had a term sheet in May of 2011 the big thing was just the final terms of financing and now I’m not exactly even sure what additional financial project execution means, but it seems we’re somehow back to square one. Our greatest concern continues to be the end of summer scenario where the DOE just continues to put the carrot out there on the American centrifuge project and we’re always just missing it. Can you give any guidance as to the timeline? Are we talking weeks, months, quarters, years and also wanted, this question was asked earlier but it you could, well maybe that’s a different way. Could you give us some guidance on the scope of the strategic initiatives?
John Barpoulis: Why don’t I touch on, it’s John Barpoulis, Bob and I’ll touch on the timing aspect. I think first I can say we certainly appreciate the patience of not just our investors but all those associated with the project. Customers, project suppliers and employees and that patience is not unlimited. I can tell you that from a timing and limitation standpoint that is at CFO, we are very, very focused on preserving adequate liquidity for the company in ongoing operations. Ultimately we know we can’t and will not keep spending without a clear path to that conditional equipment from DOE and we continue to work with them to assure that that path is clear and better defined.
Robert Cuttleburg – Cuttlebug Fund: So what you’re saying is you’re just keeping an eye on it and again it could be weeks or it could be months or it could be quarters?
John Barpoulis: I think we think in terms of weeks at this point and I don’t think we are looking at quarters and years.
John Welch: And you can be assured Bob that these are the same kind of questions that we’re getting from the board and if we’re not seeing a steady progress towards moving forward with the project. We are not afraid to do what we have to do and the department knows that. Certainly in our discussions with them the department and the administration very much want to move forward with the project and we clearly are trying, the question was asked earlier on credit subsidy cost range. We truly need to roll our sleeves up with the department, understand what the challenge there is or what we’re looking for. That process is ongoing. We can’t let it be an endless process, but it’s been made very clear to us that we need to look at some financial strengthening of the project and that’s what we’re now taking a look at. But again my view is this has got to be a weekly, week by week process and if we don’t see that there is an endgame the guess is to maximize the value for the shareholders in it, then we’ll have to take action in the other direction.
Robert Cuttleburg – Cuttlebug Fund: Alright, terrific and that also leads into and I know you probably can’t go into great detail but on the strategic initiative side, potentially you’re just going to do whatever is right for the shareholders?
John Welch: That’s our focus, absolutely.
Robert Cuttleburg – Cuttlebug Fund: Okay, thank you gentlemen and God speed.
Operator: Thank you. Your next question is coming from Brian Grad of DLS Capital Management.
Brian Grad - DLS Capital Management : Thanks guys. I think that last gentlemen pretty much answered my question.
Operator: Our next question is coming from Ben Elias of Sterge Agee.
Ben Elias – Sterne Agee: Thank you. Good morning. I just wanted to clarify. So with the question of additional depth is more, you’re going to have to provide more information, you don’t have to take any actions. Is that a correct way to look at it? John I think it will be both Ben. I think that we’re certainly seeking to better define that as well as taking actions as John outlined earlier to resolve these indications.
Ben Elias – Sterne Agee: Okay and you have a new stance for agreement I think it expires August 15th. I think in the press release you indicated that you’re in discussions and perhaps we get another extension. How are you thinking in terms of the year end deadline that you have for the third tranch? Is that going to be negotiated or renegotiated right now or do you still have an expectation of getting a final loan guarantee by year end?
John Welch: I think we are very conscious of the aspects of our agreement with BMW and Toshiba. I think that we are fortunate in that our strategic investors have been working very closely with the company, looking at the individuals. Certainly BMW is part of the joint venture to build AC100 machines. Each company has a representative on our board of directors. Each company has seconded personnel working with USEC employees to make the project a success. I think we have been clear about the work we have been doing together with respect to the June 30th deadline or the June 30th date in the agreement and are certainly aware of the year end aspect as well. The agreement also has built-in mechanisms related to that third deadline, but I think it’s fair to say that we continue to work very closely with our strategic investors. We can’t speak for them obviously but we continue to work very closely with them.
Ben Elias – Sterne Agee: My question, we don’t doubt the interest in the cooperation with the strategic investors, but quite clearly the DOE, for lack of a better term as being the one dropping the ball here and is it reasonable to expect them to move from conditional loan guarantee? If you say it’s in a couple of weeks, from September through to December and then Areva, their issue is a little different but they got the conditional loan guarantee last year. They still haven’t got the final approval. So I’m just looking to establish a reasonable timeline. I know BMW and Toshiba will go the distance, but what is your expectation of the DOE?
John Welch: Yeah, I’ll add a little color to that Ben is that in talking with them, it is clear both with administration representatives and DOE, they want to find a way to move forward with the project. So once we get to a conditional commitment it still does take time to close, whether it’s a four to six month timeframe, but that’s mostly the issue of going through the documentation side of it. We have a license to operate the plant. We’re operating under that today. Areva does not have that and so as far as regulatory issues or regulatory approvals, things like that we should be able to move very quickly, but it still does take time to cross all the tees and dot all the eyes. So and I think if you look at it through DOE’s perspective all of this due diligence I think is certainly focused. When they provide a conditional commitment they would like to feel that it’s something that everybody is going to be agreeable with and we can rapidly take it to closing. There are not many programs that can generate the number of jobs that this program has. So you can certainly understand why they would like to do it, but they certainly want to protect the tax payers in the process and ensure the loan can be repaid.
Ben Elias – Sterne Agee: Okay. Thank you.
Operator: Thank you. Our next question is coming from Randy Laufman of Imperial Capital.
Randy Laufman - Imperial Capital: Hi, good morning guys. Just wanted to touch on cash real quickly and working capital and I know a lot of your future spending has to do with the level of spending on ACT, but could you give us some guidance on working capital and cash flow maybe through the end of the year? Should we expect a big reversal at some point in the working capital and cash flow as we saw this quarter?
John Barpoulis: In our guidance outline as a whole we are expecting positive cash from operations, from our segments for the year and so I just want to make that clear upfront. I think the second piece Randy with respect to drivers of working capital, certainly the shape and profile of our operations in Paducah in terms of we will run that at lower power levels in the summer and higher in non-summer months. Our drivers in the in timing of our working capital needs, the ships with respect to the delivery of the LEU or SWU from Russia will happen during the months where the ports are clear and so that also tends to be during the mid and toward the end of the year and so those are drivers from a production cost standpoint and then obviously we’re looking at the timing of delivery at our deliveries to customers and so one aspect of our business is that we are lumpy and we do have our working capital needs and so that is the reason for the relative size of our credit facility to be able to handle those and so again end of the quarter with no draws on that credit facility. That’s fully available and from a directional standpoint, while I won’t quantify it specifically expecting net positive cash from existing operations.
Randy Laufman - Imperial Capital: Okay, thank you very much.
Operator: Thank you. Your next question is coming from Ben Mackovak of Rivanna Capital.
Ben Mackovak - Rivanna Capital: Hi guys. Good morning. If the situation wasn’t costing me so much money it would almost be laughable considering AIG was given $85 billion with a day of consideration, but that’s not my question. My question is what are the restrictions on who could buy the ACP or the company as a whole?
John Welch: We are certainly wary of foreign ownership limitations with respect to our NRC licenses. Certainly a clear factor, but on the whole I wouldn’t want to speculate on limiting our options per se.
John Welch: Yeah, the other item is the classified material, the classification and sensitivity of the technology that we’re dealing with, but other than that I don’t think there are limitations.
Ben Mackovak - Rivanna Capital: And is there a situation where the ACP could just be sold and the rest of the company would stay as USEC?
John Welch: Again wouldn’t want to limit the thoughts that we’re thinking through. Obviously we look at our long term enrichment segment and providing delivery of enrichment to our customers. I think one can certainly get into the aspects of project finance and capital that effectively provide capital for specifically the ACP project and for its operations. All I’d say in ways in to in effect monetize the value of ACP for our shareholders, whether that’s in an upfront basis or over time. So again don’t want to imply that we’re limiting the options that we’re looking at, but also not to speculate too far on paths that we could go down.
Ben Mackovak - Rivanna Capital: Okay. Thank you.
Operator: Thank you. Our next question is coming from Paul Clegg of Mizuho.
Paul Clegg – Mizuho: Hi guys. Thanks for the follow up. A question about the order book on ACP, I think you had mentioned a figure in the past but could you update us on how much the order book for ACP is filled at this time? I think you’ve talked about the first 10 years in the past and then if you could break that down, I’m curious of how much of that would come from the US versus Asia and I wanted to talk about this basically in the context of where do you think the DOE could come out on a requirement as a pre-condition for a guarantee?
Bob Van Namen : Yeah, Bob Van Namen, talk about the backlog a little bit. We don’t give specific updates on the timing of the backlog itself other than the breakdown John mentioned before given the 10-K on our overall backlog. Just to mention, currently our portfolio is roughly 65% international. We’ve tried to hold a similar structure for that for the ACP. We’ve had success in the US, in Europe and in Asia with our long term contracting there. So we like the idea of continued with the diversified position with the number of the key customers around the world. We do not see the constitution of the backlog as having any impact on the DOE loan guarantee discussions.
John Barpoulis: And Paul, it’s John Barpoulis, I think that while not getting into specifics with respect to pre-conditions or aspects of the term sheet that we have worked on with DOE, ultimately the resolute from ACP related contracts are a very key part of the credit picture and ultimately we have worked through and are working through a path that we think is ultimately achievable and that we can live up to and of course there’s no assurance that the terms that we’ve worked on with DOE may not change, but ultimately we think that we’ve ironed out a path that we can achieve as part of our path on the project.
Bob Van Namen : Yeah and just to clarify, when I talked about the backlog I meant the geographic diversity of the backup we didn’t see as being a factor in those discussion.
Paul Clegg – Mizuho: I see, but the overall size of it could be?
Bob Van Namen : Absolutely.
Paul Clegg – Mizuho: Good and any sense of how much they might sort of require to get a comfortable level of credit subsidy?
Bob Van Namen : No, not right now. I think from our standpoint as much as it is an indication or a parameter with DOE, it’s a very important factor for USEC and our shareholders in providing that assurance of return of payment on the debt as well as adequate assurance around the return of investment on our capital.
Paul Clegg – Mizuho: Okay, very good. Thanks guys.
Operator: Thank you. There are no further questions at this time. I’d like to hand the floor back over to management for any closing comments.
John Welch: I’d like to thank you all for participating in the call this morning. Again we appreciate your patience as we work through with the Department of Energy to conclude their revenue process and we certainly believe that’s in the near term. We are committed to protecting the investment we’ve made in American Centrifuge and the project and delivering shareholder value. Thank you all and have a good day.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation